Operator: Greetings, and welcome to Ameren Corporation's Third Quarter 2016 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Doug Fischer, Senior Director of Investor Relations for Ameren Corporation. Thank you. Mr. Fischer, you may begin.
Doug Fischer: Thank you and good morning. I am Doug Fischer, Senior Director of Investor Relations for Ameren Corporation. On the call with me today are Warner Baxter, our Chairman, President & Chief Executive Officer; and Marty Lyons, our Executive Vice President & Chief Financial Officer, as well as other members of the Ameren management team. Before we begin, let me cover a few administrative details. This call is being broadcast live on the Internet and the webcast will be available for one year at our website at ameren.com. Further, this call contains time sensitive data that is accurate only as of the date of today's live broadcast and redistribution of this broadcast is prohibited. To assist with our call this morning, we have posted on our website a presentation that would be referenced by our speakers. Acronyms used in the presentation are defined in the glossary on the last page. To access this, please look in the Investors section of our website under Webcasts and Presentations and follow the appropriate link. Turning to Page 2 of the presentation, I need to inform you that comments made during this conference call may contain statements that are commonly referred to as forward-looking statements. Such statements include those about future expectations, beliefs, plans, strategies, objectives, events, conditions and financial performance. We caution you that various factors could cause actual results to differ materially from those anticipated. For additional information concerning these factors, please read the forward-looking statement section in the news release we issued today and the forward-looking statements and risk factor sections in our filings with the SEC. Warner will begin this call with comments on third quarter financial results, full year 2016 earnings guidance and a business update. Marty will follow with a more detailed discussion of third quarter results and an update on financial and regulatory matters including 2017 earnings considerations. We will then open the call for questions. Before Warner begins, I would like to mention that all per share amounts discussed during today's presentation, including earnings guidance are presented on a diluted basis unless otherwise noted. Now here is Warner who will start on Page 4 of the presentation.
Warner Baxter: Thanks Doggie. Good morning everyone, and thank you for joining us. Today we announced third quarter 2016 earnings of $1.52 per share compared to earnings of $1.41 per share in last year's third quarter. This earnings increase reflected higher electric sales to residential loan and commercial customers driven by warmer summer temperatures. The earnings comparison also benefited from increased FERC regulated transmission and Illinois Electric Distribution infrastructure investments made under modern constructive regulatory frameworks in order to better serve our customers. These favorable items were partially offset by lower electrics sales to the new Madrid Aluminum smelter; historically Ameren Missouri's largest customer. Earlier this year operations at this smelter were suspended and it remains shutdown. Overall, our third quarter results were strong as our team continued to successfully execute our strategy. And I am pleased to report that -- for the second time this year, we have raised our 2016 earnings guidance. Our new guidance range is $2.65 to $2.75 per share, up from our prior range of $2.45 to $2.65 per share, reflecting the strong year-to-date results. Turning to Page 5, here we reiterate our strategic plan. We continue to successfully execute the strategy and remain convinced it will deliver superior of long-term value to both, our customers and shareholders. I'd like to take a few moments and highlight some of our year-to-date accomplishments towards this end. To begin, we continue to strategically allocate significant amounts of capital to those businesses whose investments are supported by regulatory frameworks that provide fair, predictable and timely cost recovery; and also deliver long-term benefits to our customers. This capital allocation is illustrated in the graphic on the right side of this page. As you can see, year-to-date we've invested almost $1 billion of capital in jurisdictions with fee supportive regulatory frameworks. This represented almost two-thirds of our year-to-date 2016 capital spending and included approximately $510 million of investment and FERC regulated transmission projects. The largest of these remains ATXI's $1.4 billion Illinois Rivers Transmission Project. For this projects nine line segments; including two river crossings have been energized and work on the other segments and the third river crossing is well underway. Further eight of the projects ten substations are now in service with the remaining two under construction. Regarding ATXI's $150 million Spoon River project in Northwestern Illinois, construction is being completed on two substations. In addition, we are acquiring the balance of need right away and have just begun clearing land on certain sections of the project with significant mine construction expected to begin in January. As for the $225 million Mark Twain project in Northeast Missouri, we recently initiated core proceedings in order to obtain a sense of road crossings from the five counties where the line is planned to be constructed. When completed these three massive multi-value projects will deliver significant customer and community benefits such as improved reliability and access to cleaner energy, including wind power from the western and northern parts of the MISO region including northeast Missouri. In addition, these projects are creating jobs. We also continue to make significant investments in Ameren, Illinois's Transmission System that will result in a smarter and more reliable energy grid. Turning to Page 6 of our presentation; let me update you on the execution of our strategic plan in Ameren, Illinois. We invested approximately $480 million in Illinois Electric and natural gas distribution infrastructure projects during the first nine months. These include investments made under the Company's modernization action plan, which was enabled by Illinois' Energy Infrastructure Modernization Act. In September the ICC approved Ameren, Illinois request to expand the installation of smart electric meters from 62% to 100% of customers. This approval is a testament to the smart meter benefits achieved so far and takes advantage of the infrastructure; processes and teams already in place to efficiently and effectively deploy additional new meters. ICC approval of this request also supports increasing the installation of smart gas meter modules from 56% to 100% of customers. The approximately $150 million incremental investment to expand deployment of electric and gas smart meters to all of our Illinois customers was included in the multi-year capital spending we shared with you earlier this year. As you can see on the right side of this page, Ameren, Illinois plans to install approximately 1.25 advanced electric meters and upgrade approximately 830,000 gas meter modules by the end of 2019. Through September of this year, approximately 352,000 electric and 178,000 gas meters have been installed. Since we began to deploy advanced metering technology, Ameren, Illinois has reduced estimated meter reads by over 440,000 and eliminating the need for nearly 100,000 service visits. Lastly, this year Ameren, Illinois launched a peak time rewards program allowing customers with new smart meters to manage usage during peak summer days. More than 8,000 participated saving an estimated 47,000 kilowatt hours. Clearly, the smart grid investments are saving Ameren, Illinois customers money by allowing them to better manage power usage while they experience fewer and short of power outages. In fact, the frequency and duration of Ameren, Illinois power outages have been reduced by averages of 17% and 18% respectively from the baseline set by the State's Energy Infrastructure Modernization Act. As a result, Ameren, Illinois electric distribution initiatives remain on-track to meet or exceed investment, liability, and smart meter goals established in this act. In addition, Ameren, Illinois enhanced framework for natural gas distribution is driving greater levels of investment in energy infrastructure. These natural gas distribution infrastructure projects are also improving the safety and reliability of that system. It is clear that modernize industry policies in Illinois are driving significant incremental investments in its electric in natural gas energy infrastructure; together these investments are not only delivering meaningful long-term benefits to our customers at affordable rates but they have also created a significant number of new jobs in the State of Illinois. Turning the Page 7 of our presentation; let me provide a business update on Missouri. In July Ameren, Missouri filed a request with the Missouri Public Service Commission for a $206 million increase in annual electric service revenue to begin to recover and earn a return on energy infrastructure investments that are not included in rates and to reflect reduced sales due to the suspension of operations at the new Madrid smelter among other things. Marty will discuss our filling in more detail in a moment. We expect the Missouri PSE to issue a decision in this rate review in late April with new rates expected to be effective in late May of next year. Shifting now to efforts to enhance Missouri's regulatory framework. Two separate efforts were initiated by the State to evaluate the need for regulatory reform to support investment in Missouri's energy infrastructure. One by the Missouri PSE and the other by interim committee. We appreciate the time and effort being undertaken to study this important issue. I will start by providing an update on the Missouri PSE effort. To begin, over the last several months, the Missouri PSE requested and received extensive comments from stakeholders in how the workshop to assist in their consideration of policies to improve the way it regulates electric utilities. In this workshop and later in filings with the PSE, Ameren, Missouri highlighted the issues associated with Missouri's ageing energy infrastructure, as well as the fact that the existing regulatory framework does not adequately support investment. Our filings also cited several approaches that are being successfully utilized around the country to address the issues that Missouri now faces; including performance-based formulated grade making, and forward test years, as well as trackers and writers. Importantly, we highlighted the significant long-term customer and state-wide benefits that would be realized by changes in energy policies that would support incremental energy infrastructure investment. Consistent with the benefits we have seen in Illinois and in other jurisdictions around the country, modernize policies to support energy infrastructure investments would create a more reliable and smarter grid, facilitate the transition to a cleaner and more diverse energy portfolio, as well as create significant jobs. In addition, we believe these investments will position Missouri to keep pace with the evolving electric grid and meet its customers rising energy needs and expectations. We believe the electric system will continue to evolve to a more integrated, our central and distributed generation, transmission and distribution systems, as well as customers and businesses with the smart meters plans and equipment; all work together to continuously, instantaneously and reliably maintain the balance between resources and demand. Benefits from such a system must be enabled by investments to support a more sophisticated and resilient transmission and distribution infrastructure. These investments must also be enabled by modernized energy policy. With these benefits in mind in late September, Ameren, Missouri filed with the Missouri PSE a detailed plan for potential incremental infrastructure investments of $1 billion over a five-year period ended in 2022 with additional projects of more than $1 billion that could be accelerated over this period should they be deemed appropriate when taken into consideration customer rate impact. Further, we indicated that a total of more than $4 billion potential incremental infrastructure investments for over 10-year period has been identified. In that same filing, we outlined several energy policy alternatives that will enable these important investments which would drive significant long-term benefits for our customers and the State of Missouri. On October 17, the Missouri PSE staff issued this report regarding proposed improvements to the state's electric utility regulation. Staff indicated it was not opposed to several approaches for supporting targeted investments which would continue to include strong PSE oversight [ph]. These approaches include certain trackers and writers, service accounting, interim rate, largely forecasted test years and an electric infrastructure system replacement surcharge. We appreciate this task consideration of several tools used in other states to support investment for the benefit of customers and the state. This report is an important step and we look forward to continue discussion with all stakeholders. Turning to this Interim Committee efforts; in August and October the Committee held hearings which provided a form for Missouri stakeholders and outside experts to provide their perspectives and the state's current utility regulation and how it might be modernized to support increased investment. Those hearings have been very informative and they provided another opportunity to discuss this important energy policy issue with key stakeholders, outside of the very busy legislative session. As we continue to engage with stakeholders; I am more convinced than ever that improvements in Missouri's regulatory framework were in the best long-term interest of our customers and the entire State of Missouri. We expect reports of the Missouri PSE and the Senate Interim Committee to be issued no later than December 1 and December 31, respectively. In the meantime, we are also taking other steps to better position Missouri for the future. In particular we have proposed several pilot programs in Missouri PSE. A pilot program offering customers subscription based solar power has been approved by the Missouri PSE for proposed pilot programs of building solar facilities and partnership of large customers, and for building electric vehicle charging stations along our corridor in the state are pending before the commission. I will now move to Page 8 and our long-term rate-based growth outlook. In February of this year we outlined our plan to grow rate base at a solid 6.5% compound annual rate over the 2015 through 2020. Our execution of this plan remains on-track. As the graphics on this page illustrate and in line with our strategic plan, this growth is being driven by the allocation of significant amounts of capital or regulated electric transmission and Illinois Electric and natural gas distribution services as these jurisdictions provide a constructive regulatory frameworks and the investments provided significant long-term benefits to our customer. Turning now to Page 9, here you can see that our strategic and disciplined allocation of capital is also being driven by our view that the grid needs to be modernized to meet our customer's future energy needs and expectations. As you can see on the right side of this page, the allocation of capital to transmission and electric and gas distribution is expected to grow these businesses to nearly three quarters of our rate base by year end 2020. Further we are focused on transitioning our generation to a cleaner and more diverse portfolio in a responsible fashion. Consequently, our investment in coal and gas power generation is expected to decline to 15% of rate base by year-end 2020. This transition will continue beyond 2020 with the retirement of our Meramec coal-fired energy centers in 2022. In addition, Ameren, Missouri is developing its next integrated resource plan which will be filed with the Missouri PSE in October 2017. In this plan we will continue to appropriately balance our responsibilities to our customers and communities, the environment, and of course, our shareholders. Turning now to Page 10; in addition to the progress we are making in executing our plans for the current five-year period, as just mentioned, we are focused on creating and capitalizing on additional opportunities beyond 2020. With the support of constructive Illinois rate-making, we expect to continue making significant investments to enhance the reliability and safety of our electric and gas distribution systems in the state. This includes investments to upgrade and replace gas transmission pipeline, underground storage facilities, and distribution infrastructure to comply with the expected new federal safety regulations. Further, we expect to continue to invest in local electric transmission projects which maintain and enhance reliability, including projects to meet noted [ph] requirements, replace ageing infrastructure and modernize the grid. We also plan to pursue potential local and regional transmission opportunities to upgrade the grid to maintain system voltages and reliability is generating plants to close in response to power market economics in the clean power plant. Finally, our transmission development team continues to pursue regional electric transmission projects focusing on the MISO, PGM and Southwest Power [ph]. For Missouri we have numerous opportunities for additional investment. We will continue to provide safe and adequate service which includes replacing ageing transmission and distribution infrastructure when needed. We will also make investments needed to comply with the clean power plant. And as discussed earlier, there are also numerous opportunities for incremental investments in Missouri should the regulatory framework improve. These opportunities include investments in smart meters, replacement of ageing substations and other equipment, modernizing the underground grid in transmission, as well as adding renewables. To cross our entire system will also make important investments in information technology and cyber security. The bottom-line is that we believe the investment opportunities that I just described across all of our companies have the potential to provide significant benefits to our customers and shareholders in the decade ahead. Turning now to Page 11, let me conclude my comments by reiterating that we are successfully executing our strategy in delivering strong earnings results. Looking forward we have a superior long term earnings growth outlook driven by above peer average rate base growth that is focused on investment in jurisdictions with a constructive rate making and in areas that provide long term value to our customers. I am pleased to note that last month our board of directors increased their quarterly dividend 3.5% to $0.44 per share reflecting confidence in our outlook for our businesses in our long term strategy. This increase resulted in an annualized equivalent rate of $1.76 per share. We continue to expect our dividend payout ratio to range between 55% and 70% to be in annual earnings. Of course future dividend increases will be based on consideration of among other things earnings growth, cash flows and other business conditions. A strong earnings growth profile combined with our solid dividend currently yielding approximately 3.6% results in a total return opportunity for our shareholders. To summarize we are committed to executing our strategy and I remain firmly convinced that doing so will deliver superior value to our shareholders customers and the communities we serve. Again, thank you all for joining us today. Now I will turn the call over to Marty.
Marty Lyons: Thanks, Warner. Good morning everyone and turning now to page 13 of our presentation. As Warner mentioned we reported third quarter 2016 earnings of $1.52 per share compared with earnings of $1.41 per share for last year's third quarter. Here we highlight factors that drove the $0.11 cents per share year over year increase. Warmer temperatures increased earnings by an estimated $0.11 per share versus 2015 and $0.10 per share versus normal conditions as we experienced the fourth hottest third quarter including the hottest September since 1970. Increased investments in electric transmission and distribution infrastructure in our ATXI and Ameren Illinois businesses lifted earnings by $0.09 per share including changes and allowed returns on equity compared to the year ago period. With regard to returns on equity third quarter 2016 results from our first regulated transmission businesses benefited from a temporarily higher ROE as compared to the prior period reflecting the expiration in May of the fifteen month refund period for the second MISO ROE complaint kit. The first order in the first complaint case then lowered the ROE in late September, the 10.82% including our 50 basis point adder. Turning to our Illinois electric distribution business third quarter results reflected a ROE under formulaic rate making of 8.29% compared to 8.7% for the year ago period. The third quarter 2016 allowed ROE was based on an assumed average 30 year Treasury rate of 2.49% for the full year 2016. Factors that had an unfavorable effect on third quarter earnings comparisons included the loss of sales to the new Madrid smelter and increased Ameren Missouri depreciation expense which reduced earnings by $0.05 per share and $0.02 per share respectively. And finally the year over year third quarter impacts of Ameren Missouri's 2015 energy efficiency plan, for earnings neutral as the carry over effect of lower sales resulting from this plan that by recognition of $19 million or $0.05 per share for a portion of our performance incentive award associated with energy efficiency result achieved over the 2013 through 2015 period. In total based on the elation and agreement approved by the Missouri P.S.T. earlier this week, Cameron Missouri will recognize $28 million or $0.07 per share of total incentive award in 2016 including the previously mentioned $0.05 per share in the third quarter and an additional $0.02 per share in the fourth quarter. We're pleased that we're able to reach agreement with the P.S.T. staff and the Office of Public Counsel on these incentive awards and believe this outcome reflects the tremendous success of the 2013 or 2015 via a program for our customers. Before moving on Let me briefly cover electric sales trends year-to-date compared to the prior year. Overall we experienced trends similar to those discussed on our last two quarterly calls. Although we did see some improvement in the third quarter. Weather normalized kilowatt hour's sales to Illinois and Missouri residential and commercial customers on a combined basis were up slightly year-to-date. As underlying growth and the Leap Day sales benefit more than offset energy efficiency impact. Kilowatt hour's sales to Illinois industrial customers decreased approximately 2% year-to-date primarily reflecting lower sales to several low margin Illinois customers including those in steel making, heavy equipment manufacturing, mining and energy. However we have seen improvement in the second and third quarters as industrial scale global appear to have bottomed out in the fourth quarter of 2015 and the first quarter of 2016. Finally kilowatt hour sales to Missouri industrial customers were down approximately one half of one percent excluding lower sales to the number in Iran to smelter. Turning to page 14 of our presentation, I would like to move from this discussion of sales to a discussion of our earnings guidance for the year. As Warner stated we now expect 2016 diluted earnings to be in a range of $2.65 to $2.75 per share, an increase from our prior range of $2.45 to $2.65 per share and our original February guidance of $2.40 to $2.60 per share. The increased guidance from February reflects strong year-to-date results including the first quarter $0.09 per share tax benefit associated with share based compensation and estimated $0.11 per share whether benefit compared to normal driven by warmer summer temperatures as well as disciplined cost management. Factors that are expected to have a favorable effect on year-over-year fourth quarter results included an assumed return to normal temperatures compared to much milder than normal temperatures in last year's fourth quarter, continued increased electric transmission and distribution infrastructure investment by ATXI and Ameren Illinois, as well as higher Illinois natural gas distribution rate in 2016. Factors that are expected to have an unfavorable effect on the earnings comparison include carry over impacts of Missouri's 2015 energy efficiency plan with the recognition of the majority of Ameren Missouri's 2015 energy efficiency performance incentive award in the third quarter, we revised the expected unfavorable year-over-year fourth quarter impact of the 2015 plan to $0.08 per share from our prior estimate of $0.03 per share. Further we expected the year-over-year fourth quarter earnings comparison to be unfavorably affected by lower sales to the new Madrid smelter and regulatory lag related to increase to Missouri depreciation and transmission expenses. Moving to page fifteen. Here we highlight the select ending regulatory matters. Starting with Missouri and our pending electric rate review we requested a $206 million annual revenue increase that is primarily driven by our need to recover and earn a return on important new infrastructure investments made for the benefit of our customers, adjust rates to reflect reduced customer sales largely driven by this suspension of operations at the new Madrid smelter and recover increase MYSO transmission charges. To address the last item we have also requested the implementation of a new MYSO transmission trackers in the rate review. We expect the Missouri P.S.T. to complete their review by late April of next year with new rates expected to be effective in late May. Moving on Ameren Illinois made its required annual elector distribution rate update filing with the ICC in April of this year under Illinois formula rate making framework. Our filing calls for a $14 million decrease in the net annual electric revenue requirement consisting of an increase reflecting 2015 actual costs and expected 2016 infrastructure investment that is more than offset by a decrease reflecting the completion of the recovery of 2014 actual costs by the end of this year. Last week and ALJ proposed order recommended a $14 million net revenue requirement decrease in line with our filing. This recommendation is further evidence of the consistent constructive treatment, Ameren Illinoi is receiving under the state electric formula rate making framework, and I see the decision is expected in December of this year, with new rates effective early next year. Finally, in the first of the two complaint cases the thoughts to reduce the base allowed ROE from MISO transmission owners, including Ameren Illinois and ATXI, the FERC issued its order in September, adopting 10.32% base ROE in line with the ALJ's recommendation. In the second case, the first ALJ has recommended a 9.7% base ROE and first orders expected in the second quarter of next year. As a result of these cases, we have accrued a reserve for estimated refund of $61 million as of September 30, 2016. That is consistent with the FERC order in the first case and the ALJ's recommendation in the second case. In addition to the MISO base ROE, Ameren Illinois and ATXI receive a further approved ROE at or of up to 50 basis point affective in January 2015, for their participation in MISO. Moving now to Page 16. We plan to provide 2017 earnings guidance when we release the fourth quarter results in February of next year. However, using our 2016 year-to-date financial results and guidance as a reference point, we have listed on this page select items to consider if you think about our earnings outlook for next year. Beginning with the first item listed, earnings from our FERC regulated electric transmission activities are expected to benefit from additional investments in Ameren Illinois and ATXI projects made under formula forward looking rate making. However, we expect these earnings to be unfavorably impacted by a projected lower weighted average allowed ROE in 2017 compared to 2016. For Ameren Illinois selected distribution service, we anticipate increased earnings in 2017 compared with 2016 reflecting additional infrastructure investments made there under Illinois formula rate making. The allowed ROE will be of course, the average of 2017 30 year Treasury yield plus 5.7%. In addition every Illinois gas distribution earnings are expected to benefit from qualified investments, that are included in a rate on a timely basis, under the state gas infrastructure writer. For Missouri, the 2017 earnings comparison, is expected to be favorably affected by increased Missouri electric service rate to be implemented as a result of our pending rate review. These rates are expected to reflect recovery of and a return on new infrastructure investment, as well as more recent sales and cost levels. The incorporation of more recent sales level, is expected to remove the negative earnings effect from lower sales to the demanded smelter [ph] adding an estimated $0.12 per share to the year-over-year earnings comparison as we now expect an estimated $0.03 per share a negative impact from this dispensing of operations in the first five months 2017. We expect Ameren Missouri's 2017 result, to also reflect regulatory lag associated with increased depreciation, transmission and property tax expenses, particularly in the first five months of the year before new rates become effective. Further, Ameren Missouri's electric service earnings will be negatively affected by the absence in 2017. Of the $0.07 per share energy efficiency performance incentive award, to be recognized in 2016 which I previously discussed. And a return to normal weather in 2017, would reduce combined Ameren Illinois and Ameren in Missouri earnings by approximately $0.11 per share compared to 2016. Assuming of course normal weather in the last quarter of this year. Finally, we expect expenses associated with the Callaway nuclear refueling and maintenance outage, scheduled for the fall of 2017 to be comparable to those experienced in the spring outage this year. Moving then to pair another, we expect lower tax benefit associated with share based compensation next year compared to this year. Turning to Page 17 I will summarize. We continue to successfully execute strategy and have delivered strong third quarter and year-to-date results. These results allowed us to increase our 2016 earnings guidance range to $2.65 to $2.75 per share. On a February call, we stated that we expected earnings per share to grow at a strong 5% to 8% compound annual rate from 2016 to 2020 using our then adjusted 2016 EPS guidance of $2.53 as a base. This earnings growth outlook was driven by 6.5% compound annual rate base growth, over the 2015 to 2020 period, based on a mix of needed transmission, distribution and generation investments across multiple regulatory jurisdictions, made for the benefit of customers. Our recently increased dividend provides investors with a yield of approximately 3.6%, which is above average compared to fully rate regulated utility peers. When you combine our strong earnings growth outlook with this dividend, we believe our common stock provides a very attractive total Return potential for investors. That concludes our prepared remarks we now invite your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Greg [ph] with Barclays. Please proceed with your question.
Unidentified Analyst: Yes, hi, thank you. I was wondering if the sale of the Noranda's smelter will have -- how that would impact your case and ongoing operations and recovery.
Warner Baxter: Hi, Greg this is Warner. Glad to have you join us, so in terms of the scale of the Noranda's smelter, frankly not sure if that has really any impact on the case. That sale has been completed, not sure exactly what the future is of the smelter at this stage, but we don't see it having any particular impact on the case, Michael Moehn, our President, Ameren; any further comment on that?
Michael Moehn: I think that's right. Warner I mean we are in the process of sitting down with the new owners trying to really understand what those plans are, my sense is that it's all it's a long recovery and as Warner said I don't think there's an impact on this case.
Unidentified Analyst: Thank you.
Operator: There are no further questions at this time. I would like to turn the floor back to management for closing comments.
Michael Moehn : Yes, we appreciate the comment question, Gregg; and I know a number of you are probably holding your questions for next week, we as a management team look forward to seeing many of you down at EEI at the Financial Conference, and look forward to having further dialogue and answering your questions. With that, I will turn it over to Doug to wrap up the call.
Doug Fischer: Thank you for participating in this call. We remind you again that a replay of the call will be available for one year on our website. If you have questions, you may call the contacts listed on our earnings release. Financial analyst increase should be directed to me, Doug Fisher, or associate Andrew Kirk. Media should call Joe Mellencamp, our contact numbers are on the release. Again, thank you for your interest in Ameren and have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.